Operator: Thank you for joining us for Navios Maritime Partners Third Quarter and Nine Months 2018 Earnings Conference Call. With us today from the company are Chairman and CEO, Angeliki Frangou; Chief Financial Officer, Stratos Desypris; and Executive Vice President of Business Development, George Achniotis. As a reminder, this conference call is being webcast. To access the webcast, please go to the Investors section of Navios Partners' website at www.navios-mlp.com. You'll see the webcasting link in the middle of the page, and a copy of the presentation referenced in today's earnings conference call can also be found there. Now I'll review the Safe Harbor statement. This conference call could contain forward-looking statements within the meanings of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners' management and are subject to risks and uncertainties, which could cause actual results to differ from the forward-looking statements. Such risks are more fully discussed in Navios Partners' filings with the Securities and Exchange Commission. The information discussed on this call should be understood in light of such risks. Navios Partners does not assume any obligation to update the information contained in this conference call. The agenda for today's call is as follows: First, Ms. Frangou will offer opening remarks, next Mr. Desypris will give an overview of Navios Partners financial results; then George Achniotis will provide an operational update and industry overview and lastly we will open the call to questions. Now, I turn the call over to Navios Partners' Chairman and CEO, Angeliki Frangou. Angeliki?
Angeliki Frangou: Thank you, Lora, and good morning to all of you to join us on today's call. I am pleased with the results for the third quarter of 2018, for which Navios Partners had $42 million of EBITDA and $16.3 million of adjusted net income. Markets continue to improve and as a result for Q3 of 2018, the TCE rate for our dry bulk fleet was 35% higher than the Q3 of last year. We declared a quarterly distribution of $0.02 per unit for the third quarter, representing a current yield of about 5.5%. As you can see from Slide 5, NMM owns 40 drybulk vessels. About 18 months ago, we leveraged the weakness in the container sector by establishing Navios Containers; we achieved a growth vehicle now owning 26 containerships. Slide 6 says for the reasons we believe Navios Partners is the Premiere Dry Bulk Shipping Platform. It expressed to generate a significant free cash flow of $65 million for 2018 at current charter rate has gone to approximately $80 million if rate recovers when the year averages. In addition since 2016, we have been able to renew and expand the fleet on a timely basis increasing fleet capacity by 50% and decreasing average age by 20%. Finally, we have 36% interest in Navios containers, which is pursuing a listing on the NASDAQ Global Select Market. NMM is making a distribution to our shareholders of about 900,000 shares of NMCI to broaden NMCI shareholder base to meet the NASDAQ listing requirements. After the distribution, NMM will own 33.5% of NMCI. Slide 7 highlights deleveraging efforts. We intend to continue to deleverage the internally generated cash flow plus cash proceeds from containerships sales. In July of this year, we repaid $20.2 million of debt from the sale proceeds of two containerships. NMM net debt/book capitalization decreased to 35%. This represents about 16% reduction since the fourth quarter of 2016. In addition, we have built a strong balance sheet, we have no significant near term debt maturities and healthy credit ratios. Our corporate net LTV is about 50% excluding investments in subsidiaries and net debt to EBITDA ratio is under three times. Although we have deleveraged, we have been able to – at the same time to renew and expand our fleet. Slide 8 provides the details of this effort. Since the beginning of 2017, we invested about $270 million and added younger vessels to our fleet with an average age of about 6.9 years. We have also sold our aging vessels with an average age of about 22 years. On a net basis, we have – we have nine vessels added to our fleet. These selling pressure activities resulted in about 50% increase in our fleet capacity and about 20% decrease in our fleet average age. Slide 9 shows a significant cash flow potential. About 30% of our fleet is covered by long-term charters some of which are adjustable – have adjustable rate charters having the ability for us to opt into a fixed coverage for a portion of the remaining term. For 2018, contracted revenues fully cover total expenses. Therefore, NMM's fleet is expected to generate free cash flow through its 1,300 available days exposed to the market. At current rate and with our current capital structure, NMM's fleet will generate about $55 million of free cash flow. As charters recover to extend the year's averages, NMM's fleet will generate about $80 million in free cash flow. As you can see from the chart below, the BPI media average increased by 20% year-to-date, and hence, continued to recover nicely towards its 20-year average level. NMM is well positioned to get the benefits of this recovery and generate significant cash flow. Slide 10, shows our liquidity. As of September 30, 2018, we had total cash of $58.3 million and total debt of about $511.7 million. Our net debt to book capitalization is 35%, a 16% reduction compared to the fourth quarter of 2016. Moreover, we have no debt maturities until 2020 and have built up additional firepower for future growth. At this point, I would like to turn the call over to Stratos Desypris, Navios Partners CFO, who will take you through the results of the third quarter of 2018. Stratos?
Stratos Desypris: Thank you, Angeliki, and good morning all. I will briefly review our financial results for the third quarter and nine months ended September 30, 2018. The financial information is included in the press release and is summarized in the slide presentation on the company's website. Moving to the financial results as shown on Slide 11. During the third quarter of 2017, our results were affected by the results of leverage containers, which was consolidated in our accounts until August 29, 2018. During that period, Navios Containers reported was $9.3 million and $4.4 million of EBITDA. In order for the comparison to be meaningful, we exclude this amount from the discussion below. Our revenue for the third quarter of 2018 increased by 23.4% to $62.6 million compared to $50.7 million in Q3 of 2017. The increase was mainly due to the 7.9% increase in the Navios Partners' available days over the fleet and the 15% increase in the time charter equivalent rate that we achieved during the quarter. EBITDA for the third quarter of 2018 and 2017 were affected by a number of items detailed in the slide. Excluding these items, adjusted EBITDA for the third quarter of 2018 increased by 26.1% to $42 million compared to $33.3 million in Q3 of 2017. Primarily due to the increase in revenues, which was mitigated by the $3.2 million net increase in overall expenses. Adjusted net income for Q3 of 2018 amounted to $16.3 million, $7.5 million [ph] higher than the same quarter of last year. Operating surplus for the third quarter of 2018 amounted to $25.8 million. Replacement and maintenance CapEx reserve was $7.4 million. Fleet utilization for the third quarter of 2018 was approximately 99%. Moving to the nine months' operations. The below discussion again excludes groups, the $12.4 million revenue and $6.7 million in EBITDA of Navios Containers that affected the nine months of 2017. Time Charter revenue for the nine months increased to $173.8 million compared to $140 million in the same period of 2017, mainly due to the 15.2% increase in our available days and 7.4% increase in the Time Charter Equivalent rates achieved for the period. Adjusted EBITDA for the nine months of 2018 increased a $108.2 million, compared to $29.5 million for the same period of 2017. The increase was mainly due to the increase in revenues discussed, and was mitigated mainly due to the $5.9 million increase in management fees resulting from our increased fleet, $8.4 million decrease in other income and $0.8 million net increase in overall expenses. Adjusted net income amounted to $31.6 million, $21 million higher than the corresponding period of 2017. Operating surplus for the nine months ended September 30, 2018 were $63 million. On Slide 12, I will briefly discuss some key balance sheet data. At the end of the third quarter, cash and cash equivalents was $58.3 million. Long-term debt, including the current portion, net of deferred fees and discounts, amounted to $511.7 million. Net debt to book capitalization was 55%, decreasing by 4.9% since the end of 2017. Moving to Slide 13. We declared a cash distribution for the third quarter of 2018 of $0.02 per unit, equivalent to $0.08 per unit on an annualized basis. Our current annual distribution provides for an effective yield of approximately 6% based on Friday’s closing price. The payment days in November 14, 2018. Total cash distributions for the quarter amount to $3.4 million. Our common unit coverage for the quarter is 7.5 times. In addition to the above cash distribution, as Angeliki mentioned earlier, we announced that will now distribute approximately 855,000 shares of common equity of leverage containers to our unitholders in connection with the proposed listing of Navios Containers on the U.S. Stock Exchange. The record date is November 23, and the distribution date will be on or about December 3, 2018. Slide 14, shows the details of our fleet. We have a large, modern, diverse fleet with a total capacity of 4.5 million deadweight tons and an average age of 10.1 years. Our fleet consists of 40 vessels: 14 Capesizes, 18 Panamaxes, 3 Ultra-Handymax and 5 containerships. Moving to Slide 15. You can see some recent developments on our fleet, demonstrating our continuous active renewal and expansion efforts. On August 31, we took delivery of the previously announced 2016 Japanese build vessels, one Capesize and one Kamsarmax. Furthermore, in October, we agreed to sell two of our older Panamaxes with an average age of about 23 years for $9.3 million. The sales are expected to be completed in the fourth quarter of 2018. These sales are expected to result in approximately $6.6 million book logs, of which, $5.3 million has already been included in our third quarter results with remaining $1.3 million expected to be included in our fourth quarter results. Finally, we managed to take advantage of the solid market during the Q3, and we fixed six for longer periods. More specifically, we chartered out the Navios Fantastiks, a 2005-built Capesize vessel, for an average period of 4.5 years at a daily rate of $19,150. We have also agreed with the charter for the installation of scrubber in the vessel, which will result in increasing our net daily charter rate by $2,740 per day for three years following the installation. Additionally, we fixed the Navios Mars, a 2016-built Capesize vessel, for an average period of 3.1 years at a net daily charter rate of $22,610. Both the above charters are expected to commence in Q1 of 2019. Finally, we continue to charter vessels at innovative index-linked contracts that can be switched to fixed rate at our option any time for durations up to the full remaining duration of the charter. We have concluded four long-term charters from Panamaxes vessels for average periods between 2.1 and 2.3 years at levels ranging from 100% to 120% of the BPI forecasting index. In Slide 16, you can see the list of our fleet with a contracted age and the respective expiration dates per vessel. Our charters have an average remaining contract duration of approximately two years. Currently, we have contracted approximately 97.8% of our available days for 2018 and 45.8% for 2019, including days contracted at index-linked charters. The expiration dates extend to 2028. As shown on Slide 17, we are an efficient low-cost operator. We will benefit from our sponsor's economies of scale. Our management agreement runs until December 31, 2022, and our fixed operating costs until December 2019. There is no additional charge for commissions for technical and commercial management nor any fees for S&P and financing transactions. In Slide 18, you can see the details of Navios Containers. This entity listed in Oslo's market in June 2017 and has raised a total of $180 million of equity. It has acquired 26 containerships, with a further visible growth pipeline. Currently, Navios Partners has a 36% ownership interest in Navios Containers. I now pass the call to George Achniotis, Executive Vice President of Business Development, to discuss the industry section. George?
George Achniotis: Thank you, Stratos. Please turn to Slide 20. The IMF forecast world GDP growth at 3.7% for both 2018 and 2019. Emerging and developing Asian markets, which drive drybulk demand, are expected to grow at 6.5% in 2018 and 6.3% in 2019. On the back of synchronized global economic growth, drybulk trade grew by 4% in 2017 and is forecasted to rise by 2.5% in 2018, slightly lower than the expected 2.8% net fleet growth. The average bulk dry index over the first nine months of 2018 increased by 31% compared to the same period last year. The drybulk market fleet has substantial upside as the EBITDA is about 50% below the 20-year average Turning to Slide 21. Worldwide steel production increased by about 5% in the first nine months of 2018 compared to the same period last year. Chinese steel production rose by an impressive 8%. Chinese steel exports continue to decrease on the back of increased domestic demand, which has been stimulated by large infrastructure projects and recovery in the housing market. The Belt and Road Initiative Project is a cornerstone of the Chinese economic plans for the next five years and supports steel and power demand domestically and for exports. Substitution of Chinese expensive, low-quality iron ore with high-quality and lower-priced imports continues. Through the first nine months of the year domestic production was down by 40%, while imports was estimated slightly down. Chinese steel mills have been using more scrap in their blast furnace, and stocks of iron ore in both the major ports and it steel mills have been reducing over the last few weeks. Vale recently reiterated that they expect to meet their 2018 production target of about 390 million tons, which has resulted in 105.5 million tons export volumes for Q3, about 10 million tons above Q2, and forecasters expect a similar number for Q4. Decreased activity in the spot market from logistical issues in West Australia, iron ore stock reductions in China and a number of Valemaxes arrived recently in Brazil has caused a correction in the Cape spot market. But the fundamentals for 2019 look positive with Brazilian exports expected to increase by about 15 million tons. Please turn to Slide 22. The Chinese government continues to rationalize domestic coal production, closing down small inefficient mines and encouraging consolidation of large mining groups. It is expected that the restructuring of the Chinese coal industry will continue to keep domestic coal prices high and encourage imports as inefficient polluting mines are closed. Chinese electricity production continues to increase, and it's up about of 8% year-to-date. Through September 2018, Chinese seaborne coal imports were up by about 11%. Indian coal imports have increased by about 17% so far in 2018 and look likely to continue as prior plan stocks remain very low at about five days of production. U.S. coal exports have increased over 30% so far year-to-date, driven by Asian demand increasing ton miles. Turning to Slide 23, worldwide grain sales has been growing by 5.9% CAGR since 2008, mainly driven by Asian demand. Chinese tariffs on U.S. soybeans are causing trade disruptions, which have been positive for drybulk. Exports of soybeans from the U.S. have dropped significantly so far this crop year as China subsidies U.S. soybeans with soybeans from South America. In order to cover the additional demand, Brazil and Argentina have been importing soybeans from the U.S. Moving to Slide 24. In spite of the significantly better market this year, the non-delivery rate remains at about 21% of the expected deliveries. Forecast for 2018 are for a low 2.8% net fleet growth. Based on the current order book and shipyard availability, low net fleet growth is expected to continue over the next few years. New IMO regulations for ballast water treatment systems and fuel regulations are expected to result in higher scrapping going forward. The expected disruption caused by the IMO 2020 rule regulation changes should provide support to the drybulk market through 2019 and beyond. Tonnage supply will tighten next year as vessels will have to go to drydock for about 30 days to retrofit exhaust gas scrappers. In addition, the expected increase in the fuel costs in 2020 provides an incentive to bring shipments forward into the second half of 2019 and slow steam vessels to reduce fuel consumption in 2020. Turning to Slide 25. Net fleet growth so far this year is 20.5%. The number of vessels actually delivered in 2018 is running about 35% less than 2017 year-to-date. The current drybulk order book before non-delivery is about 20% of the total fleet, and vessels over 20 years of age are about 7%. Forecasted deliveries compared favorably to the overage fleet. The supply and demand fundamentals remain positive, supporting healthy charter rates. This concludes my presentation. I would now like to turn the call over to Angeliki for the final comments. Angeliki?
Angeliki Frangou: Thank you, George. This concludes our formal part of the presentation. And we will open the call to questions.
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Our first question comes from the line of Randy Givens of Jefferies.
Randy Givens: Hey, Angeliki. Good morning.
Angeliki Frangou: Good morning.
Randy Givens: So a quick question on the – just the market in general. It appears the small asset classes have relatively outperformed the Capes, especially in the recent, I don't know, three or four weeks. So what has been the cause of this kind of firm, Panamax, Supermax trade softening Capesize trade, and how do you see rates playing out in the coming months? 
Angeliki Frangou: It's a good question. I mean, the basic thing you'll see that we had a – generally in the last month, you had negative sentiment overall in the markets, financial markets, and we saw very a strong physical market in Capes. Then on – if you take into consideration the breakdown of the train logistics supply in Australia that created vessels going more on Brazil, and maybe that affected the temporary distortion. Overall, the fundamentals, meaning net fleet growth and demand, are good. So basically, maybe a little bit of a sentiment issue. But really, still over into the Cape and also, the logistics of Australia vessels going – Capes going to Atlantic and creating an oversupply.
Randy Givens: Okay. And then looking at the scrubber order, so can you walk us through some of the economics for that install? Basically, at $2,740 per day for three years, that's about a $3 million surplus there. So a few questions, how much is the scrubber? And then how did you determine that rate premium? Was it based on a spread differential or just for a payback of three years?
Angeliki Frangou: The thing is that we're – in order to put that call conservation and obviously it’s agnostic about the scrubber. So if a client wants, a charter wants a scrubber, we will install it, on a bulk of a long-term charter so this is a 15-year-old Capesize that we think the full year deal. They asked us for scrubbers. So we installed the scrubbers at the cost-plus base. And the base price of the scrubber is within three years. So it is a cost-plus base. So this is the way that we see and we will be doing that opportunistically.
Randy Givens: Okay. So your other Capesizes that are not on contract, no plans for scrubbers unless they have a contract against that? Is that what I'm hearing?
Angeliki Frangou: If there's a contract and a charter want the scrubber. So in fact, we will do the scrubber cost plus margin and it pay back with bigger.
Randy Givens: Got it. So no speculative scrubber orders at year-end?
Angeliki Frangou: No, because we have seen that easily we can fix our vessels beyond 2020. This is really an issue where somebody wants to – a charter wants to take risk out of them or they want for their own operational regions. I mean, we don't see why you should do a CapEx without a definite return on your investment.
Randy Giveans: Sure. Okay, then one more just quick question. With all this surplus cash, are unit purchases and options trading at brief discounts, if any?
Angeliki Frangou: We definitely are looking on all this because, to be honest, with the kind of – now the NMM has solidified. I mean have done so many things and solidified balance; we invested $270 million on the best part of the cycle. So we invested in assets. We increased our by 50% deadweight capacity, reduced our average age by 20% of our vessels. And at this point, we have no maturities, major maturities until 2020. And we have reduced our debt – our buy – our net debt to book capitalization by 60% from end of 2015. And basically, our net LTV is below – is about 50%. So with this kind of a balance sheet and good cash flow generation, I think you – what we will see now is mostly to our accretive use of cash. And I think you're right that this can be a very good option.
Randy Giveans: Well, that’s it from me. Thank you again.
Angeliki Frangou: Thank you.
Operator: Our next question comes from the line of Noah Parquette of JPMorgan.
Noah Parquette: That’s great. I just wanted to follow up on that last one. I mean, you guys are in a great position on the balance sheet. You chartered a couple of ships long-term. Where on the accretive use of cash does distribution increase coming into play? How do you think about that now?
Angeliki Frangou: I would say that that's taken – we already have established a dividend policy. We give about 5.5% return to our investors. I think at this point, with the NAV, where it looks – where it is and the surplus, I think we have to see the value proposition between the different choices. Don't forget, I want to remind you, and you have been following our company, we did $270 million investment on – what's about 12 – 15 vessels in the right part of the cycle. So today, you see the cash flows, you see your positioning and you have to allocate the resources to the correct way.
Noah Parquette: Okay. And then I just wanted to ask about the long-term Panamax contracts index linked. You said that you can convert them to a fixed rate. How does that work exactly? And how is the fixed rate calculated?
Angeliki Frangou: It is a – you can – at any quarter, any moment, we can have the remaining two years, one year, whatever we've – now we've selected an option of Navios at the FFA rate. So at any point, you really can do it and fixed-year exposure. And again, we at the index plus a premium if we are – we have a premium. So this is an extremely viable option where you have, you can say, let the point in the cycle where you want to go long.
Noah Parquette: Got it. Okay. Great. And then just one last one on the soybean effects on the market. You've seen definitely more out of Brazil. Was any demand pulled forward, do you think, in terms of stockpiling from China? And then what do you – where are you seeing kind of the U.S. exports going? I know you said that they're falling, but where you think those things end up? Thanks.
Angeliki Frangou: I think the commodity will be used. It's maybe around the world. So depending on the commercialization of tariffs, we'll have a distant partner. We – you may see reduction in rates. I mean, U.S. has been going on to South America to Argentina. You may see more of that. But in all essence, you would have, I mean, the commodity will be reduced. It's not going to see – you’re not going to see a reduction, it just creates more inefficiency.
Noah Parquette: Okay. Thank you.
Angeliki Frangou: Thank you.
Operator: Our next question comes from the line of Espen Landmark of Fearnley.
Espen Landmark: Hey, good afternoon. I just had a question on really an update on NMCI in terms of the U.S. listing and maybe what kind of role do you think NMM will have here going forward, including the potential backing and future equity raises? Thank you.
Angeliki Frangou: As you understand, we are in the last stages of the registration statement. And Navios Containers were in before we will have a separate call with investors. So we are in the final process, where it would be a dividend to our NMM shareholders and this will qualifier for NASDAQ Global Listing, which is the main exchange on NASDAQ.
Espen Landmark: Okay. Thank you.
Angeliki Frangou: Thank you.
Operator: Your last question comes from the line of [indiscernible] of Morgan Stanley.
Unidentified Analyst: I'd like to follow up on Randy's first question about the Cape market. Any other color you could provide on may be how much capacity was taken off-line in Australia? And how quickly we could get may be a resolution or a return to capacity and what that means for near-term rates? Thank you.
Angeliki Frangou: I think one of the things we have seen is that there is a strong program for December, continuing on – and for December for the iron ore. So the cargos aren’t there. They balance between Atlantic supply and will most probably have to stabilize. And then when we have first volume, we will see our storage moving up. So I think this is that – you may think that we may say that may be also sentimental driven Aztec Logistics of Australia. Basically, you have good demand, good flows and risk rated supply.
Unidentified Analyst: Okay. And then how should we think about your fleet going forward on the spot versus fixed basis. Obviously, couple of fixtures regionally, but what percentage should we think about maybe spot versus fixed are you targeting?
Angeliki Frangou: Listen, we have about 30% of our vessels in long-term charters, which gives us nice stability. We will have to repeat something we always – we are very – I mean, we like export exposure in different parts of the cycle. We will not have a problem also fixing nice margins. And this is something that we do it opportunistically, and we build on the portfolio over time.
Unidentified Analyst: Perfect. Thank you.
Angeliki Frangou: Thank you.
Operator: And thank you. At this time, there are no further questions. I'll turn the floor back to Angeliki Frangou for any additional or closing remarks.
Angeliki Frangou: Thank you. This completes our Q3 results. Thank you.